Operator: Welcome to Advanced Energy's first quarter Earnings Call. With us today are Dr. Hans Betz, President and CEO; Mr. Larry Firestone, Executive Vice President and CFO; and Ms. Annie Leschin, Investor Relations. (Operator Instructions) Thank you. I would like to turn today's call over to Ms. Annie Leschin. You may begin.
Annie Leschin: Thank you, operator, and good afternoon, everyone. Thank you for joining us this afternoon for our first quarter 2009 earnings conference call. By now, you should have received a copy of the press release that we issued approximately an hour ago. If you would like a copy, please visit our website at www.advanced-energy.com or contact us at 970-407-4670. I'd like to remind everyone that except for historical and financial information contained herein, the matters discussed in this conference call contain certain forward-looking statements subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Statements that include the term believes, expects, objectives, estimates, anticipates, intends, targets or the like should be viewed as forward-looking and uncertain. Such risks and uncertainties include, but are not limited to, the volatility and cyclicality of the industries we serve, the timing of orders received from our customers, our ability to benefit from the continued cost improvement initiatives currently underway, and unanticipated changes in our estimates, reserves or allowances. These and other risks are described in Form 10-K and 10-Q and other reports filed with the SEC. In addition, we assume no obligation to update the information that we provide you during this conference call, including the second quarter guidance provided during this conference call and in our press release dated today. Guidance will not be updated after today's call until our next scheduled quarterly financial release. I'd now like to turn the call over to Hans Betz.
Hans Betz: Good afternoon everyone and thank you for joining us. After a difficult end of 2008, the first quarter of 2009 fell further. Despite the strides we made towards achieving a more diversified revenue stream, able to weather single industry events or downturns, the extensive nature of the credit crisis and resulting economic conditions have affected all of our markets simultaneously. This leads to further declines in weakened semiconductor market, a pause in solar equipment purchases as financing dried up and the industry awaits news of a stimulus package and the halt to flat panel capital expansion as consumer spending remains weak. In these markets, the impact was significant and the decline precipitous. Advanced Energy responded to the challenge and demonstrated its ability to consistently execute and maintain its market position even at these levels. We achieved our guidance for the first quarter with sales of $32.6 million and loss per share of $0.39 before the write-off of goodwill of $1.9 on a GAAP basis. We ended the quarter with a strong balance sheet with a cash position of $173 million, including our auction rate securities. Semiconductors continue to be the hardest hit market. Demand fell to record lows during the quarter, reflected by order declines over the prior quarter of more than 50% from our major customers. Throughout the first quarter, OEMs worked through and scrapped the inventory at levels not seen before and implemented prolonged and more frequent shutdown of the manufacturing facilities in order to manage costs in this period of historically lower sales. Major OEMs are reconfiguring their progress and finished goods inventory to conserve cash by utilizing the inventory or ordering part the systems very selectively one at a time. This change in purchasing behavior has created abnormal demand based primarily on a minimum amount of parts needed and had a ripple effect on suppliers such as Advanced Energy. There is some good news, however. According to the recent earnings call from key customers, we have heard that shipment will increase in the second quarter. In addition, we have seen some quarter activity return in our service business, which is a leading indicator of market stabilization. Taiwanese have recently called some of their workforce back to work, resulting in fab utilization of above 70%. We are cautiously optimistic to see if this is a small pause in the downcycle or the beginning of a turnaround. Advanced Energy, nonetheless, remains committed to our strategic initiatives as we continue to see the unique opportunities to gain market share during this downturn. Despite the difficult environment, we are investing in and developing new products and technology to enable the transition to the next generation of interim requirements for several of our markets. The most recent example of this was the introduction of our Paramount RF power platform. Paramount addresses multiple applications in semiconductors at the sub-45-nanometer nodes. We believe it is the most accurate power system on the market with ultra-high speed tuning and fast response time. Paramount is gaining traction with strong performance in preliminary evaluations that have led to some notable design wins to date. We view this product as a key strategy for the semiconductor market and believe it will position us to gain market share going forward. Moving to the non-semiconductor markets, let me begin with solar, which has been the highlight in the recent quarters. This quarter, even thin-film solar could not escape the widespread impact of the credit crisis. With the winter, the seasonal lull for panel installation, the sudden decrease in availability for financing slowed expansion and investments exacerbating the conditions and causing overcapacity. Advanced Energy's decline in solar sales during the quarter reflected all of these factors. Similar to the semiconductor market, we are seeing a change in solar equipment order pattern. We are now seeing the emergence of equipment suppliers to the solar industry, offering discrete processing equipment solutions. Additionally, areas such as Europe and China who are leading the green-tech movement and receiving government funding are continuing to press on and expand capacity. We are seeing a significant portion of our business come from newer, well-funded entrants and recent design wins. As such, we expect these companies to continue to make purchases from Advanced Energy in the near future. We anticipate that the U.S. stimulus and tax incentive programs surrounding solar initiatives will also positively impact our solar business. In inverters, we continued to penetrate the large commercial and utility market this quarter with sales of the first three 500-kilowatt Solaron inverters. Similar to our 333-kilowatt inverter, this product is performing at the highest efficiency rating on the markets, [90%] to 70.5%. Our Solaron inverters continue to prove their merits and set industry standards evidenced by our second award for technological innovation over the last six months from the EE Times who gave Advanced Energy the Most Innovative Renewable Energy Award. As a relative newcomer and innovator in this market, Advanced Energy is applying its unique power conversion technology to the high-end inverter market. In keeping with our strategy of serving large power markets, we have chosen to target the large commercial and utility markets rather than the traditional inverter market comprised of residential and small commercial customers. As the high-power commercial inverter market is a much newer and developing market, these customers have distinct needs and requirements which cause the market to behave differently with long sales cycles and trial periods as well as the need for financing. However, the potential for sizable orders and repeat customers is also greater. Also, this market is not immune to recent financing issues. We believe the strength of these companies' balance sheets combined with the stimulus package and related tax incentives targeted at the solar market puts them in a strong position to benefit. The flat panel display market continues to have its difficulties, none of which look to be resolved in the near future. The first quarter represented the tail end of Gen-8 investments begun in 2008. We do not expect the subsequent wave of investment to occur for some time, most likely in 2010. Inventory levels have improved and display prices stabilized during the first quarter, though the capital constraints in this market will restrict any major capacity expansion until consumer spending returns. There are, however, some interesting opportunities for upgrades to enhance the performance of the installed tools. Other markets such as Taiwan and China must find a way to obtain investment in their fabs in order to make the move to Gen-5 and Gen-7 panels or risk closure or obsolescence. As these countries appear unlikely to let this happen, the potential for governmental intervention in these markets as we watch closely as it unfolds, especially in China. Moving onto our service business, with such precipitous declines in semiconductor and flat panel sales, service too felt the significant impact of the downturn this quarter as well. As a key part of our support strategy, we anticipate that service will be a leading indicator for recovery in our markets. Recently, in an effort to preserve cash, semiconductors have drawn on existing underutilized machines for their spare parts and their repair needs, causing the revenue to fall to extraordinarily low levels. With indications that fab utilization began to increase in the first quarter, the repair and tune-up of the idle equipment on the fab floors should begin. Given what we believe are the limited supply of spare parts on-site at the fab, semiconductor manufacturer will need to order these parts to replenish their stocks, driving service revenue in the near term. Finally, our other business lines, glass, data storage and industrial applications suffered similar, albeit smaller declines in the quarter. With the growing focus on and investments in solar/alternative energy, government stimulus packages in various geographies may play a key role and potentially in the industrial coating and emerging markets. We expect the industrial market to be among the first to recover, given the shorter lead times for capital investment and (discollections) of diversified industry. Serving as a barometer for consumer market, this fragmented group of customers has long supply chains that make industrial coating for a variety of products. Therefore, as demand for consumer electronic product grows and buying capacity increases, manufacturer will expand capacity for existing technology or implement new or next generation technology in addition to starting up the idle equipment which will likely be in need of repair or spare parts. As we commented on our last earnings call, we anticipate the weak economic conditions to impact Advanced Energy and our reserves markets for the remainder of 2009. We are using this downturn as an opportunity to examine each of our markets more closely and confirm our technology roadmaps in each of our market. We are proactively taking steps to fine tune our strategy, maintain our strong financial position and prepare for fundamental changes to the equipment industry. First, as we have shown in the last quarter and the last year, our focus on maintaining our strong cash position continues to enable us to have the ability to drive our future business strategy. Additionally, we will continue our investments into next generation products such as our Paramount RF generator for semiconductors and (Ascend) DC generator for large area thin-film applications, in particular flat panel, solar panel and in commercial inverter applications in order to reinforce our partner and customer relationship and prepare us to gain market share even as markets return slowly. Finally, we will improve our operational discipline in order to minimize our overall cost structure and breakeven, positioning us for profitable growth and margin expansion opportunities in the future. So, our visibility beyond the next quarter is poor. We have seen some positive indications that our markets may improve in the second half of 2009. We are hopeful that this begins a positive wave of capital spending that leads to a healthy recovery in our markets. We believe the early signs will come from our service business, followed by the industrial market and the solar market, which stands to benefit from the stimulus package, and finally semiconductors which is running at trough levels, while flat panels and data storage most likely be among the last to recover. I would like to thank the entire Advanced Energy team around the world for their hard work. I will now turn the call over to Larry Firestone, our CFO, to elaborate on our operating results.
Larry Firestone: Thank you, Hans, and good afternoon, everyone. I will review the results for the first quarter of 2009 and discuss our guidance. As anticipated, the global credit crisis deepened during the quarter, impacting all of our markets. This took first quarter revenue to $32.6 million, in line with our guidance, but down 63.3% from the $88.9 million in the same period last year and down 51.7% from the $67.5 million in the prior quarter. Sales to the semiconductor capital equipment market represented 29.4% of total sales in the first quarter. At $9.6 million, sales declined 57.5% from last quarter's $22.5 million. Sales to the non-semiconductor markets were also pressured this quarter. Though they remained at similar percentage of total sales at 47%, non-semi sales declined 53% to $15.3 million from $32.6 million in the previous quarter, with the largest decline coming from solar. Sales to the solar market were $6.2 million or 19% of total sales, well below last quarter's strong performance of $16 million or 23.6% of total sales, due largely to difficulties surrounding project financing. As the first wave of investment for Gen-8 and 8.5 panels included the current capital constraints are delaying the next wave of expansion. Sales for the plat panel display market fell to $3.4 million or 10.5% of total sales in the quarter versus $6.5 million or 9.6% in the fourth quarter. Architectural glass sales represented 5% of total sales or $1.6 million versus 3.5% or $2.4 million in the fourth quarter. Glass sales this quarter were driven largely by a shipment to a glass coating customer in China, and this equipment will be used to sell coated substrates to the solar market. Sales to the varied industries that comprise our industrial coating and emerging markets were approximately $1.5 million or 4.5% of total sales, down significantly from the $6.5 million or 9.7% in the prior quarter, with revenue declines across regions and markets. With the capital expansion delayed until Blu-ray media pricing comes down and the consumer market returns, sales to the data storage market represented $809,000 or 2.5% of total sales compared to $1.2 million or 1.8% of sales last quarter. Our service business declined 37.8% from last quarter, representing approximately 23.6% of total revenue or $7.7 million, as manufacturers continue to utilize idle equipment for spare parts, conserving their cash and pushing maintenance levels to new lows. Our book-to-bill ratio was 0.87 to 1, and we ended the first quarter with $24.4 million in backlog, down from last quarter’s backlog of $28.6 million. Approximately 60% or $14.7 million of this backlog is shippable in the second quarter. Gross profit was $6.4 million or 19.6% for the first quarter compared to $18.4 million or 27.2% in the fourth quarter. The sequential decline in margin was mainly due to decreased revenue levels and the resulting lower absorption of our manufacturing overhead. Gross profit also declined from the same period last year of $35.8 million or 40.3%. R&D decreased 17.2% to $11.1 million or 34% of first quarter sales, down from $13.4 million or 19.9% of fourth quarter sales and $13.1 million or 14.7% of sales a year ago. We continue to invest in key emerging areas of growth, while also managing costs during this period of uncertainty. SG&A declined slightly from last quarter to $9.4 million or 28.8% of first quarter sales compared to $9.5 million or 14.1% of fourth quarter sales and $14.5 million or 16.3% in the same period last year. We expect to see further savings based on our recent cost reductions and global shutdowns. We have implemented cost reductions throughout 2008 and into the first quarter of 2009. Since the beginning of 2008, we have reduced our headcount by 516 people for a total reduction of wage and fringe costs of $24.9 million. The cost reductions taken in December and March resulted in a $3.4 million restructuring charge in the first quarter, and we expect to incur an additional $1 million restructuring charge in the second quarter as these reductions are carried out. Last quarter, we discussed the target breakeven point of approximately $55 million exiting the second quarter. However, given our committed investments in new products and the effect of our product mix, our breakeven point exiting 2009 will be closer to $60 million on a quarterly basis. We do have additional cost reduction measures that will be implemented later in 2009 or 2010 and beyond in areas such as facilities, as we have leases that are expiring, and other reductions related to efficiencies. We believe our more streamline cost structure will position us with tremendous profitability leverage when the markets begin to recover. We continue to record evaluation allowance on our U.S. net operating losses. And as such, our tax rate is near zero. $938,000 tax benefit resulted from losses in our foreign subsidiaries as they recorded restructuring charges during the quarter. We mentioned on our last earnings call that we were likely to have a goodwill impairment charge. And having completed the step two analysis, we recorded an impairment charge of an estimated $63.3 million in the first quarter. This charge increased our loss per share by $1.51 per share in the quarter. GAAP net loss was $79.8 million or $1.90 per diluted share compared to a net loss of $19 million or $0.45 per diluted share in the fourth quarter and a net income of $6 million or $0.13 per share in the first quarter of 2008. Excluding the goodwill impairment charge, the EPS would have been a loss of $0.39 per share. Headcount at the end of the first quarter was 1,251 employees compared to 1,679 employees at the end of the fourth quarter. As of March 31, 2009, cash and investments including auction rate securities were $173.4 million, down slightly from $180.1 million at December 31, 2008. We consumed some of our cash in the quarter and with the lower level of sales. Trade accounts receivable dropped to $35.6 million at the end of the first quarter of 2009 compared to $56.5 million at the end of the fourth quarter of 2008 based on the lower sales volume. As a result, DSOs were 109 days compared to 78 days in the fourth quarter. The increase in DSOs was due in part to delayed customer payments and also a high concentration of accounts receivable in Japan where standard terms are longer than in other regions. Total net inventory was relatively flat at $46 million, and net inventory turns were consistent with last quarter at 3.8 times. Capital expenditures were $454,000, and fixed asset depreciation was $805,000, and intangible amortization was $222,000 for the first quarter. During the quarter, we also recorded a one-time reduction in depreciation related to our building in Japan or $1 million adjustment through depreciation. However, the ongoing run rate will be approximately $1.8 million in the quarter for depreciation. Our guidance for the second quarter is as follows. Sales will be in the range of $30 million to $36 million. Gross margins will be in the range of 15.3% to 21.4%, and the GAAP loss per share will be in the range of $0.41 to $0.34 using a 0% effective tax rate. In summary, as Hans mentioned, these are unprecedented times in the global economic markets. We have taken proactive measures to lower our cost structure and improve our operational efficiencies over the last several quarters and will continue to do so as needed. We have taken the necessary steps to achieve our lower breakeven point of $60 million by the end of 2009, with additional cost reductions to come, which will further improve the breakeven point going forward. We believe our solid balance sheet combined with the investments we are making in new products and our core and emerging markets will position us well as the markets improve. That concludes our prepared remarks for today. Operator, I'd like to open up the call for questions.
Operator: Your first question comes from the line of Jim Covello with Goldman Sachs. Go ahead, sir.
Kate Kotlarsky - Goldman Sachs: Hi. This is Kate Kotlarsky for Jim Covello. I had a couple of questions. One is you talked about the semiconductor market potentially being sort of the last to recover, as you look at all of your businesses. At the same time, we are already seeing a little bit of an improvement off of the bottom, granted off of the low base, but there is some improvement. And you alluded to some of your customers, talking about improvement in shipments, et cetera. So I was just wondering whether your comment was more about kind of a significant improvement in business related to capacity buys or whether that was also related to some of the technology related buying we are already seeing from your customers?
Hans Betz: I think in reality, it's both. What we see at this point in time is some kind of silver lining, but it's hard for us to derive from these kind of stabilizing effects. We have higher service revenue. We see some (QAM) prices stabilizing. We see a higher fab utility. All those indications are positive, but they are not strong enough in order to derive something very strong as a rebound from that. We are just cautiously optimistic. But I think as long as no new fabs are really being announced than except the Intel fab and AMD fab, we haven't heard anything around that too. As long as this is not happening, we don't think there is a very fast recovery.
Kate Kotlarsky - Goldman Sachs: And if we just think about your guidance for Q1, if you think about the various market segments, how should we think about what's doing relatively better or worse as you see it in Q2?
Hans Betz: In Q2, we see definitely a much better solar business, in particular coming out of Europe and China. And I think we still are very, very cautious as far as the semiconductor market is concerned. Again, we haven't seen any strong recovery in our orders from this market, even though Lam and Novellus indicated shipments up in Q2 in a pretty substantial manner, 35% and 28%. But because it didn't trickle down to us yet, I think we think it's more burning through the inventory, which may be a good sign, but it's not necessarily something which gives a strong indication that everything is rebounding on the semi side.
Kate Kotlarsky - Goldman Sachs: Okay. That makes a lot of sense. Maybe just one final question for me. You mentioned earlier in the call about taking a look at maybe reevaluating some of your businesses. I don't know if I was reading too much into it. But I was just wondering if you could talk kind of big picture, do you think about your various business segments, what you consider to be sort of the really core must-have areas and what might be some less core areas of the business?
Hans Betz: I think maybe it was not really understood, because we do fine-tuning our strategy in those business areas. We are not considering anything in order to be not our core or less our core business. And the reason is pretty simple. Because if you look at, for example, the optical storage business which is kind of dragging and nobody knows exactly whether Blu-ray is really taking off, but even if that is not the case, I think we have a platform which is being applied for the optical storage. But it's not a specific optical storage platform. It's a platform which is being used in other areas as well. So, even though if the market is not holding up as we expect, there is no kind of divestiture or something like that.
Kate Kotlarsky - Goldman Sachs: Okay. That's very helpful. Thank you very much.
Hans Betz: Sure.
Operator: Your next question comes from Brett Hodess from Banc of America/Merrill Lynch. Go ahead.
Krish Sankar - Banc of America: Hi, guys. This is Krish Sankar for Brett Hodess. I had a couple questions too. One is, in terms of $16 million breakeven exiting the year, can you tell me how much of that includes the temporary cost deduction measures, like the shutdown and other things that you have done or is it all purely on a permanent basis?
Larry Firestone: It does include the temporary shut down measures or the temporary cost reduction measures including shutdowns and pay reductions. However on the other hand, we have as we mentioned, additional cost reductions that we have in the works that will replace those on a going forward basis.
Krish Sankar - Banc of America: Got it, so you can just presume it's going to be 60 million. Okay and then are there any one time restructuring charges for 2Q '09 I remember in the last press release you had like about 800,000.
Larry Firestone: One-time restructuring?
Krish Sankar - Banc of America: What are the non-operating charges for 2Q?
Hans Betz: 2Q non-operating charges restructuring was about 3.4 million and the --
Krish Sankar - Banc of America: For the 2Q, for the guidance?
Hans Betz: I am sorry for 2Q, that was Q1. Restructuring charges will be about $1 million.
Krish Sankar - Banc of America: Okay, alright. And in terms of the solar market you guys said on the inverter side you are focusing more on the commercial and utilities market, is there any way you can spice it up. I know last time you mentioned roughly your opportunity is about $0.30 to $0.40 a watt. Is there any other market size you have available for that market?
Hans Betz: I think we have been concentrating on the utility side of the market, which goes up from 250 KW up to I don't know maybe a megawatt or even 1.5 megawatt. The actual size of the market is hard to determine at this point in time, because it's being hold back a bit because of the financial situation. I think those are projects, which are pretty expensive. So what we see is everybody is kind of sitting on the sideline and waiting until the stimulus package is kicking in. Our judgment is that we see some kind of real strong uptick in the second half of this year, just because of the fact that the administrative elements which are getting from the federal through the state and the state itself is disseminating the money. It just takes time. But what is the accessible market in terms of hard numbers. I think it's hard to define at this point in time.
Krish Sankar - Banc of America: And Hans, you mentioned that you still don't have much visibility into your semi OEM customers. You still think that they are drawing down from the inventory? Do you have any idea as to like how much longer they have to go or do you think they are like right around the cusp of giving you guys some really solid shipment?
Hans Betz: This is pretty tough. Because as long as the consumer confidence is pretty low, as long as people are not really buying these electronic gadgets, it's hard to see something which could be the stimulus in order to generate new fabs. Of course some of those new fabs will be built in the course of mid '09 and beginning '010, because of the technology nodes which are asking for new fabs. But the big business in my view is still if there's capacity buyers not only technology buyers. And it is hard for me to give you some kind of credible outlook when that may happen.
Krish Sankar - Banc of America: Okay. And then the last question in terms of flat panel you said the recovery you think is going to more a 2010 story. Do you think is it because in 2010 you think the Gen-10 or 10.5 CapEx will start coming into line?
Hans Betz: I think there are a couple of things there too. Because on one side I think the inventory on the flat panel side is burning through. On the other side it goes back to the same point which I mentioned for the semi side. As long as people are not buying flat panel TVs or monitors, there is no need for building new fabs. And if you recall, one of the new Gen-10 flat panels sales is around $3 billion, and people are very reluctant to put that much of money into new fabs if there are no signs for a solid recovery on the consumer spending side.
Krish Sankar - Banc of America: Got it. Thank you very much.
Operator: Your next question comes from (inaudible) from Barclays. Go ahead.
Unidentified Analyst: Thanks for taking my question. Larry, in terms of the gross margin that you saw this quarter, I think you had guided to 17. It was around 20. Can you talk about what drove the uptick there?
Larry Firestone: Inventory absorption gave us a positive hit to the gross margin. It increased the gross margin. That was about $1.3 million.
Unidentified Analyst: And then the breakeven level that you guided of $60 million. What gross margin is that?
Larry Firestone: Let me have a quick second. Let me look. It will be in the mid-20s kind of range. I am sorry in the mid to higher 20s kind of range.
Unidentified Analyst: And then on the display side, you talked about the drop-off driven by the fact that panel makers have invested partially at the end of 2008 and they are basically holding up. I guess how does that fit with the comments that you have recently heard from LPO and AUL about really pulling in and ramping up their GEN-8 facilities through the end of the year? Does that suggest that everything they needed in terms of your parts they already received or that you are just taking a cautious approach to it?
Larry Firestone: Yes, we saw some of the activity coming out of that activity that you are referencing. We've seen some order activity related to that, and that will really be dropping in the Q2-Q3 timeframe.
Unidentified Analyst: So, you would expect, I guess, a couple of quarters of an uptick from these levels?
Larry Firestone: It's not a surge of orders. It will probably be more steady business for us as we go forward. It's nice new business, but it's not a surge of increase in new fab capacity like a cycle.
Unidentified Analyst: Thank you.
Operator: (Operator Instructions) Your next question comes from Tim Summers from Wunderlich Securities. Go ahead.
Tim Summers - Wunderlich Securities: Thanks for taking my question. Hans, in your prepared remarks, you had mentioned that you expected some markets to improve in the back half of this year. Can you identify those markets and how much improvement you expect?
Hans Betz: So, the first thing is what we see already is some improvements on the solar side right now in the thin-film side. And as I mentioned in my script, I think we expect a much stronger inverter business in the second half, partly driven by the fact that the stimulus package may kick in, which not only the inverter market by the way will boost up, but the filter market as well. And the other point is the service business, which we have as a separate business, which we see not only an uptick, but significant improvement. And this is probably going through the rest of the year, because the indication is that they have been turning through the inventory. The capitalization went up. So they have to order spare parts, and they have to look for repair. These are the two major markets which I see in the second half may improve. Again, coming back to my statement earlier, it may that semiconductors are going to improve too, but the visibility there is much, much worse.
Tim Summers - Wunderlich Securities: Okay. And, Hans, just on the solar business, do you have 10% customers in that market?
Hans Betz: 10% of total revenues?
Tim Summers - Wunderlich Securities: Of total solar revenue?
Hans Betz: No, but we have some in the order of 5% to 8%. I think one is
Larry Firestone: Probably in that range.
Hans Betz : But not 10%.
Tim Summers - Wunderlich Securities: As you look at the customers that you sell to, give us a ball park what percent are to -- manufacturers themselves like AMAT versus the actual panel manufacturers themselves?
Hans Betz : Most of our business is being done through the OEMs. As you know, there are two typical different OEMs, one are the turnkey suppliers like AMAT and Oerlikon and the others are the numerous in meantime numerous OEMs which just provide portion of equipment, either the deposition or maybe the measuring equipment or the laser cutter or whatever that is. So we see in particular in China, on a daily base popping up new small players and fortunately by the way, we are strong in China because we have the biggest facility there and therefore, we are kind of entrenched in this regional market and we are benefiting from that.
Tim Summers - Wunderlich Securities: Okay, great. Thank you.
Operator: Okay. Thank you very much. And I would like to turn the call back over to Mr. Larry Firestone at this time.
Larry Firestone: Okay. Thank you, Operator. Just as a reminder, we will be at the JPMorgan Technology Media and Telecom Conference on May 18th in Boston. And without any further questions, we'd like to thank everyone for joining the call and we'll see you at all of our future events. Thank you.
Operator: This concludes today's presentation, you may now disconnect.